Ivan Vindheim: Good morning everyone. My name is Ivan Vindheim. I'm the CEO of Mowi. It's my pleasure and honor to wish you all welcome to the presentation of Mowi's third quarter results of 2021. This time around, the people are physically present in the audience, much appreciated if I may say so. And yet another step towards normalization hopefully, knock on wood. With me today to walk us through our financial figures and fundamentals, I have as usual, our CFO, Kristian Ellingsen. And after the presentation, our IRO, Kim Dosvig will routine-ously host our Q&A session. Those of you who are following the presentation on webcast can submit your questions in advance or as we go along by e-mail. Please refer to our website at mowi.com for the necessary details. Disclaimer, I think we'll leave for self-study. Then, highlights. Overall, the third quarter was characterized by high seasonal supply, particularly from Norway and a strong demand, partly driven by pandemic in retreat in many important markets. With this backdrop, Mowi recorded record high revenues for our third quarter of €1.035 billion, which is also the second best to date. Operational EBIT was €131 million, which is in line with the trading update on the 18th of October, up by 64% year-over-year. Despite the still ongoing pandemic, we have with minor exceptions managed to keep our more than 200 farms and 35 factories in 25 countries running normally by means of still maintaining strict biosecurity measures, all across our business. At the same time, we also managed to keep our people safe. So yet again, a big thank you to all our 12,000 employees, who have made that happen. It's much appreciated. The increase in profits year-over-year from €18 million to €131 million is mainly explained by higher salmon spot prices, up by 19% in Europe and by 55% in Americas. Blended Farming cost of €4.59 per kilo in the quarter was adversely impacted by biological issues in Canada, amounting to €0.08. We have also started to see that pandemic-driven supply chain disruptions have begun to assert themselves in Farming costs. Particularly, feed prices have increased during the year on rising raw material costs and by less accessibility of some input factors. Much of this inflation though we believe is driven by transitory factors that will return to normal, when normality is restored, whenever that is. Meanwhile, we believe the salmon with it's low-feed conversion ratio and traditionally high margin versus other animal proteins will stand out as a winner relatively speaking. Nonetheless, as of today, we do not expect higher blended Farming costs for the third quarter -- sorry for the fourth quarter. Feed is the most important input factor in salmon farming and both feed performance and growth in feed were good in the third quarter and to date for that sake. Further to this, we harvested 117,000 tonnes in the third quarter, 7,000 tonnes more than the initial guiding. The positive deviation is related to Norway and good growth conditions. And as a result of this, we have increased our full year guidance from 450,000 tonnes to 455,000 tonnes for 2021, equivalent to 58,000 tonnes volume growth year-over-year. For next year, we expect to harvest 460,000 tonnes, adversely impacted by a reduction in our Canadian volumes of 6,000 tonnes. Following the phasing out of our Discovery Island operation in Canada West and that we are temporarily holding back on our growth ambitions in Canada East. We will revert to Canada later this morning, when we address the various business units, so much about Farming for now. For Consumer Products part, we had yet another good quarter with record high earnings for the third quarter of €21.5 million, driven by good demand, high volumes and improved operations. Feed numbers were relatively good in the quarter, with satisfactory feed production and feed performance. Finally, the Board of directors has declared an ordinary quarterly dividend of NOK 0.93 per share, equivalent to 50% of underlying earnings per share and an extraordinary quarterly dividend of NOK 0.47 per share, backed by our strong financial position and a favorable outlook. So, in other words, total NOK 1.40 per share in quarterly dividend to be paid out after the third quarter. Then over to key financials. Kristian will go in depth on financial figures under his session. So to not disrupt the course of events, we will as usual just touch briefly upon the most important ones now. Turnover of €1.035 billion was as already mentioned, the highest recorded turnover ever for Mowi for the third quarter and the second best to date, equivalent to a top line growth of 8% year-over-year. This is explained by higher spot prices. Farming volumes actually down from 126,000 tonnes to 117,000 tonnes. Operational EBIT of €131 million, we have already commented on. Cash flow was good in the quarter and net interest-bearing debt came in at €1.149 billion, well within our long-term target of €1.4 billion. Underlying earnings per share in the quarter was €0.18 and annualized return on capital employed was 12.9% above the long-term target of 12%. In terms of regional margins through the value chain they were reasonably good in the quarter apart from yet again Canada, which broke even in the quarter after a troublesome quarter biologically. We will get back to Canada shortly when we go through the various business entities. But first prices. As already said, we saw a strong price increase year-over-year in the quarter driven by good demand and the pandemic in retreat in many markets, up by 19% in Europe and by 55% in Americas. At the same time, we saw the usual seasonal pressure on prices quarter-over-quarter driven by high volumes particularly from Norway. Going forward, we expect better prices on lower season supply and continued strong demand, and I guess I should add yet and over time provided that the pandemic does not take a U-turn. Kristian will elaborate more on prices and supply/demand under his session. Then our own relative price performance, overall it was satisfactory in the quarter with a price achievement 3% above the spot price. Particularly in Norway and Scotland stand out with a latter driven by good contracts. Chile and Canada on the other hand suffered from downgrading due to biological issues. For Chile's part related to knock-on effects from last summer's plankton bloom. In addition contracts made on Mowi Chile's price performance in the third quarter. Then briefly about the EBIT waterfall. Overall, operational EBIT increased from €80 million to €131 million year-over-year. This was in its entirety driven by increased earnings in Farming as a result of higher spot prices. Farming volumes are in the same period down and Farming production costs up. Other businesses contributed the €10 million less earnings-wise year-over-year. Then it's time to address the various business entities. And as usual, we start with the largest and most important one Mowi Norway. Operational EBIT was €98 million in the quarter, up from €67 million in the comparable quarter last year. EBIT margin was €1.39 per kilo this year versus €0.87 in last year, i.e., an improvement of 60% year-over-year. As the graph clearly demonstrates this is caused by higher prices. Volumes are down from 76,000 tonnes to 71,000 tonnes and cost is slightly up. The latter due to less dilution of cost and inflation because overall biology and production for our Norwegian operation developed positively year-over-year, resulting in improved feed, conversion ratios, harvest weight, survival rate and production percentage. Then the different regions in Norway. Margin wise, it was a mixed bag also this time around. Region North stands yet again out as the margin winner with €1.94 per kilo on very low cost NOK35 per kilo. Region Mid achieved a margin of €1.10 per kilo on slightly higher cost and stable volumes year-over-year. The split of Region Mid into two new regions Region West and Region Mid is now in place and we will report in line with the new structure from the fourth quarter onward. Things take time in salmon farming. So it will take some time before we can expect to see improvements from this restructuring, but we undoubtedly have untapped potential on both cost and MAB utilization in this important area for Mowi, which we intend to realize. For Region South part, we harvested a minimum in the quarter in order to grow biomass after our volume-rich first half year. Volume-wise the third quarter is therefore not very relevant. Region South is back to more normal volumes in the fourth quarter. Then, our Norwegian sales contract portfolio. There are no material changes since last time we met in the third quarter. Contract share was 22% and in line with the guidance volume-wise. For the fourth quarter, we have contracted 31% of the volumes with prices in the same range as for the third quarter. In terms of next year, I'm afraid we cannot say much today. We are negotiating as we speak. So for competitive reasons, we must keep our cards close to our chest for now and instead revert with an update in connection with our fourth quarter release in February. However, that said, I think we at least can reveal that we expect substantially higher contract prices next year than for this year and so do you I presume. Then, Scotland. After having a very good first half year biologically, Mowi Scotland sailed into more troubled waters in the third quarter with CMS and gill issues combined with seasonal low oxygen levels in some areas. With this backdrop, Mowi Scotland made an operational profit of €13 million versus €6 million last year, and EBIT per kilo of €0.90 against €0.35 last year. Margin improvement is explained by higher prices. Production cost was quite stable. In the fourth quarter, however, production cost is expected to be negatively impacted by lower volumes and that we are harvesting from sites with a higher cost level. Biology and production in Chile, on the other hand, were reasonably good in the quarter after that troublesome first half year for their part due to an unusual warm and dry summer that led to more challenges than normal with oxygen levels and plankton. With this backdrop, Mowi Chile turned a profit of €14 million in the third quarter versus €8 million in the comparable quarter last year. EBIT per kilo was €0.93 versus €0.56 last year. Chile's margin improvement is also driven by prices. Production cost was adversely impacted by knock-on effects from the already referred to environmental challenges in the first half of the year. Then further north to Canada. Mowi Canada broke even in the third quarter, against a loss of €seven million last year. And yet again, it was a mixed bag in this business entity. Canada West turned a profit of close to €6 million or €0.66 per kilo versus a loss of €1 million last year. Canada's earnings in the third quarter were negatively impacted by our plankton bloom incident in the Quatsino area on the West Coast of British Columbia that cost us more than €5 million. Ex this incident, the Canada West operation margin was reasonably good at €1.30 per kilo. Canada East, on the other hand, had yet another disappointing quarter with a loss of close to €6 million, heavily impacted by an oxygen drop incident in Bay West in Newfoundland. It's no secret that we have faced a string of unfortunate biological incidents since the takeover of Northern Harvest in 2018, particularly in the Newfoundland area. So it's definitely still a lot left to prove for this business unit. I guess some of you have heard Elon Musk talking about, Physics is the law and everything else is a recommendation. In salmon farming, biology is the law figuratively speaking. So further to this, we are temporarily holding back on our growth ambitions in the Newfoundland area, until they have reached a satisfactory stability, both operationally and financially. Growth is one of the three main pillars in Mowi Farming, but all things considered, I think holding back in Newfoundland right now is the right course of action in the present state. Then, the time has come for Mowi Ireland and Mowi Faroes. For the salmon of Irish region, we made an operational EBIT of €4 million. This is slightly down from the €5 million we made last year, driven by lower prices and volumes. Costs, on the other hand, has improved substantially year-over-year. Margin-wise it was quite stable €1.84 per kilo versus €1.87. In the Faroes, operational EBIT was stable year-over-year with slightly higher prices and costs €2.5 million versus €2.3 million. That was all about Farming for now. Then, over to Sales & Marketing and more specifically Consumer Products. As touched upon initially, the third quarter was a good quarter for Consumer Products with record high earnings for our third quarter of €21.5 million on high volumes 60,000 tonnes product weight. This was driven by strong demand partly driven by a pandemic in retreat in many important markets and an operational efficiency improvement that led to lower operational costs. In general, we see good development in demand in more or less all markets. Then our latest addition to the Mowi family, Mowi Feed. The third quarter is high season for our feed operation and operational EBIT of €10 million and return on sales of 4.7% are positively impacted by that. But compared to last year figures they are somewhat down owing to fierce competition in the feed market. In terms of our operations both production and feed performance were good in the third quarter. At the same time, I think we must say that the sourcing situation has been more challenging than normal this autumn. And as addressed initially we see increasing inflation for feed raw materials. The same goes for logistic costs. So with China shipping bottleneck Brexit a world economy at full throttle combined with some crop-specific issues take their toll on salmon farming too. But as we already have stated much of this we believe is driven by transitory factors that will return to normal when normality is restored. Then Kristian, the floor is all yours for walking us through the financial figures and fundamentals. Thank you so far. 
Kristian Ellingsen: Thank you very much Ivan for a good walk-through. Good morning, everybody. It's great to see you again in person this time. As usual we start with the P&L where the top line shows a record high Q3 revenue of €1.035 billion on higher prices. If we look at the year-to-date revenue of €3.1 billion and also year-to-date volumes of 351,000 tonnes they are all-time high and there's a lot of work that is behind actually producing these record high volumes and turning this into profit. So thanks to all our employees for making this possible. Operational EBIT of €131 million is up €50 million from last year driven by higher prices. A brief comment on the items between operational EBIT and financial EBIT. Net fair value adjustment of biomass was minus €58 million this time around. Impairment losses in Canada have a negative impact of €23 million related to the turnaround and revised plans. This is a noncash impact. Results from associated companies that's mainly related to our 49% share in Nova Sea. This translates into an operational result of €1.77 per kilo which is a good result although somewhat lower than Mowi Region North with €1.94 and this is on a somewhat higher cost. Net financial items of minus €17 million this time around. Interest costs were down so the movement is related to unrealized currency losses. And of course the increase in earnings. That's the driver behind the improvement in key financial measures such as underlying earnings per share €0.18; operational EBIT margin 12.6%; and return on capital employed. The latter was 12.9% and as such above our target level. We then move on to our balance sheet where book value of assets is stable from year-end 2020 as we see here from the figures. And Mowi's financial position is very strong a covenant equity ratio of as much as 57% and net interest-bearing debt of modest €1.15 billion. It was a good cash flow in the quarter, cash flow per share of €0.20. Cash flow before dividend paid in the quarter was €100 million minus dividend paid of €98 million means that net interest-bearing debt was stable during the quarter. Tie-up of working capital €22 million. That was mainly related to increased biomass in sea, partly offset by released inventory in Feed. Sales and Marketing was relatively stable. And taxes positive this time around. That's due to repayments of prepaid tax in Scotland and Canada. And we take the 2021 estimate somewhat down as a result of this. When it comes to the updated cash flow guidance for 2021. The working capital, we expect a large tie-up now in the fourth quarter related to increased biomass and tie-up of accounts receivable. Working capital is as you know sensitive to estimate changes and we have revised the figure somewhat to €80 million down from €110 million in the previous guiding. CapEx guidance that's maintained at €265 million. But the risk is on the downside i.e. underspend. That's due to some capacity pressure in the supply chain related to our ongoing projects as a consequence of COVID-19. But we do not expect any significant delays, which will impact our operations. And we have already commented the tax guidance reduced down to €50 million. The other items are unchanged. The refinancing of the bank syndicate was completed in the third quarter with all formalities in place. Of course, we want to thank our bank syndicate for the good cooperation good discussions. And we are of course, very satisfied with this now being finally in place. We have a very solid financing with no instruments maturing until 2023. The share of green and sustainable financing, we are happy to announce that that is now at 85% which is a high share. And with regards to sustainability, we continue to make progress on our targets. Year-to-date our Scope 1 and 2 greenhouse gas emissions were reduced by 32% as shown in the upper left graph here. Our production has so far this year, accounted for nearly 1.6 million tonnes of avoided CO2 emissions compared to producing the equivalent volumes by using a mix of land animal proteins. We are delivering on our sustainability strategy. We are pleased to see that we received recognition for work in this area through the various rankings where Mowi consistently is achieving a very high score. Recently the Blue Food Assessment was released. This is a collaboration between more than 100 scientists, which are to publish a series of scientific reviews in renowned journals. And this assessment gives very strong and convincing arguments for the importance of producing more food from the ocean. One of the finding was that the farm salmon is preferable to chicken, which as you know is considered the most efficient major terrestrial animal source food. But salmon has a more favorable impact on many environmental metrics, such as, freshwater use, greenhouse gas emissions, as well as, a better nutrient profile. And this is of course very supportive for us. And we see the strong feed conversion ratio, as Ivan commented upon, with feed price increasing and salmon is a relative winner as it's demonstrated here in the table. So the world wants more salmon that's very good. And the supply increase of 4% was actually more than guided. More harvesting than expected in Norway and Chile. Norway was as much as 15% up on good temperatures, growth, good biological performance leading to improved weights and also harvesting more individuals to stay within MAB limits in Norway. Chile on the other hand minus 17% but that was less than guidance and that was on higher number of individuals being harvested on high prices and after a good quarter, with respect to growth. Consumption increased by 6% so more than the supply increase and that's related to inventory effects. We had a buildup of frozen inventory last year, but build-down this year.  Global blended spot price increased by around 25%, meaning that the value of salmon consumed increased by more than 30% to a new record high level, despite not having fully recovered in all markets. So this is a good story for the salmon. We see that the EU + UK increased by 5%. The retail volumes in the main markets in Europe are either stable or increased versus last year's already high level. That's very good. Foodservice continued to recover, but it's not yet fully back to the pre-pandemic levels in Europe. Russia, relatively stable from Q2 but compared with Q3 last year, consumption was down as we see here on low availability of frozen volumes from Chile. Consumption in the US increased by as much as 11%. Retail continued to be strong in the US and the foodservice has more or less fully recovered in this market. So we continued to see very good numbers in the US for the market and also for our own Consumer Products US division. And this volume growth was made possible by a higher share of Chilean volumes going to the US than normal and also increased imports from Europe, despite airfreight rates still being higher than before the pandemic. We see in Asia, good percentage-wise growth in China from a low Q3 last year. And that's of course, good that China is on the road back but it has not yet fully recovered. Export volumes from Norway are at pre-pandemic levels. And we see that consumer confidence has been gradually restored in China but there are some logistical challenges still and volumes from Chile to China are down. Yes. And then some comments on prices. As Ivan commented, European prices up 19% year-on-year and as much as 50% – 55% in North America. And particularly strong North American prices are due to a supply reduction from Chile and strong demand. Prices in Canada, you see that from the light gray graph here, somewhat down lately on salmon with low sizes in the market but we have seen an uptick now in the last weeks. Price is up 19% in Europe, as we said, on very high volumes from Norway in the quarter. So demand was very strong and the fourth best ever Q3 price-wise in Europe. Volumes in the market for Q4, this year we expect minus 3% to minus 7% supply change, which gives a total growth for this year of plus 3% to plus 5%. But going forward, we believe in a tight market and the supply growth in the next 12 months is estimated to be 0%. When it comes to our own volumes, the 2021 volume guidance has been increased to 455,000 tonnes, which is a record high and which is an annual growth of 15,000 tonnes from last year. 2022 guiding is 460,000 tonnes. We expect a reduction of Canadian volumes of 6,000 tonnes related to phasing out Discovery Island operations in Canada West and temporarily holding back on our growth ambitions in Newfoundland, Canada East. With that, it's again over to Ivan for the outlook.
Ivan Vindheim: Thank you, Kristian. Much appreciated. Now it's time to conclude with some closing remarks, before we wrap it all up with a Q&A session hosted by our IRO, Kim Dosvig. I said a few times already, we are optimistic about the market prospects going forward. Provided that the pandemic does not take a U-turn, we think the markets will continue on its road to full recovery. So a good underlying demand combined with lower season supply lay a foundation for good price achievement in the coming months. Global supply growth of 0%, the next 12 months underpins that. And with Mowi's diverse and integrated value chain, we think we are in a great position to capitalize on this. In terms of harvest volume guidance, we have as Kristian just showed us updated slightly this year from 450,000 tonnes to 455,000 tonnes on good growth corresponding to a year-over-year growth of 15,000 tonnes. Guidance for next year is 460,000 tonnes adversely impacted by a reduction in our Canadian volumes of 6,000 tonnes following the phasing out of our Discovery Island operation in British Columbia and that we are temporarily holding back on our growth ambitions in Newfoundland. And last but not least, the Board of Directors has declared an ordinary quarterly dividend of NOK 0.93 per share equivalent to 50% of underlying earnings per share; and an extraordinary quarterly dividend of NOK 0.47 per share backed on a strong financial position and a favorable outlook. So in other words in total NOK 1.40 per share in quarterly dividend to be paid out after the third quarter. Then I think we are ready for the Q&A session Kim. So if Kristian can please join me on the scene. You're everywhere now from the right corner.
Q - Knut-Ivar Bakken: Hi. Knut-Ivar Bakken, SpareBank 1 Markets. Two questions. First, you mentioned the inflation. Could you elaborate a little bit on your cost expectations for Q3 going into Q4 and in the first half next year? And then the second question on what is the split between East and West in Canada volumes for 2022? 
Ivan Vindheim: Right. So I think the last part you could take Kristian, the volumes. Maybe we shall start with that Canada the split. So we have in East 5,000, 6,000, 7,000 tonnes. And the remainder is in Canada West and then I guess I answered the question. I apologize. Back to cost. So as we said under the presentation, as of today we do not expect higher blended farming cost in the fourth quarter. When it comes to next half year, we must revert to that in February. So we are looking into our numbers as we speak. But in general we have large opportunities for improvements in Mowi Farming on cost. As you are all aware of cost is one of the three main pillars in Mowi Farming. That's something we are working hard to get down every day. And apart from Region North, I would say that we are -- we can improve from some to material in all regions. Region North is really doing great right now. We have 100,000 tonnes in Region North and a cost level, which is a rock bottom. But for all other regions in Mowi, we have a huge potential. Take Chile for instance this year we run into problems in the first half of the year related to plankton. So compared to our peers, we did well, but it had an impact on cost. Canada this year has been very tough for us. So there we obviously have huge potentials for improvements. Scotland still high cost level. Although, we did great in the first half of the year, there's a lot to do there. Idea is to go towards post smolt also in that region, which will help on both cost and volumes. If you take Norway, Region South room for much improvement. Region Mid, we have just split the region into two and we take concrete measures in order to deliver both on cost and on MAB utilization in a very important region for Mowi. So again, we can do a lot on cost, but right now feed prices are increasing. That's a fact we cannot hide. 
Kristian Ellingsen: Yes. You can also mention that, of course, biology is a big driver for cost. And as Ivan said we have huge potential in our different regions to work with biology and work with these measures that we have also discussed at length in the Capital Markets Day, which will take the cost level down in the years to come. We also have the cost saving program. A reminder on that we have cut cost of €160 million since in 2018. We have the productivity program. We have reduced the number of FTEs by 1,000 almost this year, while still producing record high volumes. So, we have demonstrated in practice that we can work on productivity and we can work on cost and there is still a good potential for doing that also still.
Ivan Vindheim: To put it into perspective. So, if you take the region in Mowi with the lowest cost and multiply by two, then you have the region with the highest cost. It's actually that big. So, I think that's put things into perspective and also illustrates in a good way the potential we have in most of our regions.
Carl-Emil Johannessen: Carl-Emil Johannessen, Pareto Securities. One follow-up question on the volumes in Canada East. Is it so that the 5,000 to 7,000 tonnes is kind of what you expect before you have stability, or should we expect volumes to come back to around 15,000 tonnes which was the level when you acquired Northern Harvest and that growth from there is what's kind of been --.
Ivan Vindheim: I think we have harvested 15,000 once so far. So, the run rate was 12,000 to 13,000 tonnes. So, that's the number. So, this year is also impacted by the oxygen drop incident we had in Bay West and also some issues with sea lice afterwards.
Carl-Emil Johannessen: And one on the volume guidance for Norway for 2022. Your assumptions there compared to how you have performed this year, is it in line or have you made any differences to your assumptions?
Ivan Vindheim: No, we are very consistent on our assumptions. So, we are conservative. We do not take into account any ambitions or targets really when we guide. So, if you take this year, for instance, we have up to twice -- so and delivering 15,000 tonnes as of today and we guided on 5,000 tonnes extra. So, of course, has the room -- here we have room for improvements. But we also like to deliver on guidance. So, this is our best estimate for next year as we know.
Carl-Emil Johannessen: And then you seem a little bit more optimistic on the industry when you guide on 3% to 6% growth in Norway next year. Can you say something about the assumptions there compared to your own guiding?
Ivan Vindheim: Our guiding is more or less built upon consensus. So, we don't have more insight into this than the rest of you. Personally, I think we have been through a very good year growth-wise. I can't remember we have such yes, numbers ever in this industry at least not in my time. So, maybe statistically next year becomes more difficult I don't know. The smolt is getting bigger and stronger. The farmers they are getting a little bit better every day. So, what the net results of all this is hard to say. But I think we have had good help from mother nature this year. So -- and that -- in Norway that could change. In other regions, it has been the other way around. So, -- and normally you don't see the same pattern over a long time.
Martin Kaland: Martin Kaland, ABG. You talked about higher prices in the Consumer Products segment and do you have an estimate of how much higher prices or how much price increases there have been to the end consumer for salmon, both during the year and now lately and how that has been compared to other food other proteins? And if that could have helped demand for salmon?
Ivan Vindheim: That's a difficult question. I don't know Kristian do you want to answer it?
Kristian Ellingsen: We don't -- I don't think we want to go into too much detail on that when it comes to the final prices. We have seen that the prices for our division has increased. And of course unfortunately for a Consumer Products point of view, so has the salmon price. The raw material cost has also increased, but that's of course very positive for the company as a whole. But we have also had good productivity gains and efficiency gains in our Consumer Products division. So, all-in-all, very good earnings.
Ivan Vindheim: But the prices towards end customer is not at a high level now. So, that shouldn't be a concern really. So, we are far from where we have been back in the day in the past. So at least that's not a concern we have.
Martin Kaland: Also, when you then incorporate the increased – the expectations of increased prices next year as well that it should be manageable for the end consumer to handle those price increases you now look to be expecting for next year?
Ivan Vindheim: Absolutely, absolutely.
Kim Dosvig: Okay. Then we have one question from the web. It's from Alexander Jones Bank of America. He's got a question on Scotland. You're guiding flat volumes year-over-year next year. Can you talk about why there won't be any growth? And how do you think about the volume growth potential beyond 2022 in Scotland?
Ivan Vindheim: Thank you, Alexander. Hope you are doing well out there. Good question. In terms of guiding on Scotland, I would like to refer to the Capital Markets Day, so that guiding is still valid. Next year, we maintain our volumes. This is also about site mix in Scotland, because this year the site mix has been favorable. And then next year it's a different site mix. So – and if you look a little bit back you will see that Scotland they have a certain pattern. So stabilizing this is our goal number one now. In general, I would say that, Scotland has been subject to significant growth over the past years. So not many – neither companies nor regions can show to the yeah, the same growth trajectory as we have seen from Mowi Scotland. So overall, we are very satisfied with our operation in Scotland. We also have said numerous times looking into a postsmolt strategy for Scotland. So we strongly believe in postsmolt also for Scotland. This makes sense in the environment we have in that region.
Kim Dosvig: Okay. And then a question from Alexander Aukner, DNB. He's got a question on Canada East. What proof do you need to see in order to restart growth in Newfoundland? And then as a follow-up what are the main challenges in Newfoundland versus what you expected at the time of acquisition?
Ivan Vindheim: Good question. But, you know, how it is very hard to answer good questions. So as I said to Knut-Ivar previously we – so 5,000, 6,000, 7,000 tonnes is not the level we're talking about. It's 12,000 to 13,000 tonnes. So next year stands out negatively. But – and the idea is to take Canada East to 20,000, 25,000 and maybe 30,000 tonnes. So we have to put things into perspective. But they are not ready to take the next step until we reach stability. So we would like to see stability. Again, it's more or less all about biology. It's a very tough biology in Canada East. We have invested in top equipment. So I would argue that part is in place, but we have to operate it better. We have to train our people better. We have to do the right – and take the right actions, when we run into problem, because as we have said many times in Canada, East Newfoundland, you have the worst of two worlds. You have a very cold winter, and a very warm summer. So this is not Norway. It's much harder to grow a salmon over there. And one thing is to run into a problem, when you have a relatively low number of fish in sea from a Mowi perspective, by all means. It's another game if you have a 20,000, 25,000, 30,000 tonnes operation. So we are not ready to take on that risk yet. We need to see stability, before we can take on that risk. So when we do that, it's really hard to say. We do not at the moment. But the potential is big in Newfoundland. So we still strongly believe in it. But we have to do it with the right pace, so to speak.
Kim Dosvig: Okay. Then a question on branding from Alexander Sloane from Barclays, if we can give an update on the branding launches in the quarter and in U.K. in particular. And also what are the next major markets that we target in terms of expansions of the branding strategy?
Ivan Vindheim: Do you want to start?
Kristian Ellingsen: Yes. So we launched in the U.K. in Tesco this quarter and Amazon Fresh, on e-commerce. So we continue to launch this product in new markets. So we have quite a few launches this year. And we see good results. And things are progressing. But of course COVID-19 has been a challenge for our branding venture. And we are somewhat behind the schedule, as we also discussed during the Capital Markets Day. So we continue with our plans. And I don't think we are ready to disclose all our launch plans, in the different markets going forward. But I don't know Ivan if you want to say anything more than that.
Ivan Vindheim: No. I think we have to do this in a chronologically order. So first we launch, and then we talk about it.
Kristian Ellingsen: Yeah.
Ivan Vindheim: Not the other way around. So...
Kim Dosvig: Okay. So that concludes the questions from the web.
Ivan Vindheim: All right. Then it totally remains for me to thank everyone for the attention on behalf of Mowi. We hope to see you back in February, that's our fourth quarter release. Meanwhile, take care. And have a great day ahead.